Operator: Good day, everyone and thank you all for joining us to discuss Equity LifeStyle Properties' first quarter 2017 results. Our featured speakers today are Marguerite Nader, our President and CEO; Paul Seavey; our Executive Vice President and CFO; and Patrick Waite, our Executive Vice President and COO. In advance of today's call, management released earnings. Today's call will consist of opening remarks and a question-and-answer session with management relating to the Company's earnings release. As a reminder, this call is being recorded. Certain matters discussed during this conference call may contain forward-looking statements in the meanings of the federal securities laws. Our forward-looking statements are subject to certain economic risks and uncertainty. The Company assumes no obligation to update or supplement any statements that become untrue because of subsequent events. In addition, during today's call we will discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in our earnings release, our supplemental information and our historical SEC filings. At this time I would like to turn the call over to Marguerite Nader, our President and CEO.
Marguerite Nader: Good morning and thank you for joining us today. I am pleased to report the results for first quarter of 2017 with an FFO per share growth of 9% as compared to last year. We see strong demand for our product and property. In the quarter we increased occupancy by 141 sites with a gain of 128 home owners. We sold 97 new homes at our MH communities with an average purchase price of $60,000. The Florida home sale market was strong and accounted for over 45% of sales. The home sales were primarily all cash transaction. In Florida 60% of the buyers came from within 50 miles of our locations and 40% drew from the North East or Mid West. The conversion of renter to owners in the quarter was strong with 15% of the new and used sales coming from residents who already live in our communities. Our same-store NOI growth was 3.8%. We saw continued strength in the MH business with a 4.8% increase in revenue. With respect to the RV portfolio, our teams are focused on delivering a great customer experience. Each year in the spring guests at our Florida, Arizona and South Texas properties are given an opportunity to book for next winter before the general public. The strength of the bookings from existing customers willing to commit in advance provides the foundation for the next season. This year we found increase in the pay commitment in each market. Customers are enjoying their experience with us and want to ensure they will be able to have a repeat experience next year. The operating teams are now focused on opening summer RV resorts. Our marketing campaigns which focus on the 100 days of summer are underway. Our customers are interested in exploring the outdoors and unique accommodations including yurts, cabins and tiny homes. Our customers are increasingly using technology to enhance their interactions with us. We’ve redesigned our websites and have seen an increase in traffic and revenue. In the quarter 37% of visitors to our RV website were using a mobile phone to connect to our site. We incorporate customer behavior patterns into the design for our marketing campaign. We are off to a strong start for 2017 and look forward to continuing the momentum. I will now turn it over to Paul to walk through the numbers in detail.
Paul Seavey: Thanks, Marguerite and good morning, everyone. I will provide some detail on our first quarter results and walk through our detailed guidance for the second quarter and updated guidance for the remainder of 2017. I’ll also provide an overview of our balance sheet. For the first quarter, we reported $1 of normalized FFO per share $0.02 ahead of guidance. Revenue outperformance with the primary contributor to better-than-expected core income from property operations, other income and expenses included better than expected income from our ancillary activity and we recognized income from a Joint Venture distribution during the quarter. Core MH rent growth 4.8% includes 3.9% rate growth and approximately 90 basis points related to occupancy gains. Rent growth was higher than guidance as a result of better than expected rates as well as occupancy gains during the quarter. Overall, resort based rental income was ahead of guidance for the quarter. Revenue from annuals increased 4.6% primarily as a result of increased rate. Note, the comparison to prior year is impacted by the additional day included in 2016 as a result of leap year. The one day impact on revenues is approximately 60 basis points on our annual revenues in the quarter. Demand for seasonal stays in Arizona and Florida properties were the drivers of the 1.4% revenue growth. Our transient revenues grew 50 basis points for the quarter. Heavy rainfall in California was a factor impacting our transient revenues. First quarter our membership dues revenue was higher than guidance. During the quarter we sold approximately 2,500 Thousand Trails camping passes, an increase of 14.8% over the first quarter of 2016. We upgraded 625 members during the quarter, an increase of 19% over the last year. Revenues were approximately $500,000 higher than guidance and the resulting net contribution from these sales was approximately $200,000 higher than guidance. Utility and other income were higher than guidance in the quarter as a result of insurance recovery and utility income. We recognized approximately $800,000 in insurance recovery related to weather events in the current and prior periods. Utility income, which consists of recovery of utility expenses at our properties was approximately $300,000 higher than guidance and partially offset for higher than expected utility expense we realized. Core property operating maintenance in real estate tax expense growth was approximately 1.1% higher than expected in the quarter. Utility expenses are the cause that the variance to guidance. Increased utility usage including gas and electric in California with a weather patterns which in generally cold and wet was a main contributor to the higher than expected utility expense. In summary, first quarter core property operating revenues were up 4.3% and core property operating expenses were up 5.2%, resulting in an increase in core NOI before property management of 3.8%. Performance and the acquisition portfolio which includes Tropical Palms RV was in line with our expectations. Property management and corporate G&A were $19.8, million in line with guidance. Other income and expenses generated a net contribution of $4.6 million. The favorable variance from our guidance was the result of higher than expected income from ancillary business at our winter seasonal resorts and a distribution from one of our Joint Ventures. Moving on to guidance, the press release and supplemental package provide 2017 full year and second quarter guidance in detail. As I discuss guidance keep in mind my remarks are intended to provide our current estimate of future results. All growth rates in revenue and expense projections represent mid points in our guidance range. We have increased our full year 2017 normalized FFO per share guidance to $0.03. Our range for the year is now $3.51 to $3.61. The midpoint represents 7.4% growth over 2016 normalized FFO per share. We expect second quarter normalized FFO as the midpoint of our range of approximately $74.5 million with a range of $0.77 to $0.83 per share. We expect the second quarter to contribute approximately 22% of our normal -- full year normalized FFO. We assume no MH occupancy increase subsequent to the end of the first quarter. Projected second quarter core community based rent revenue of $120.5 million reflects a growth rate 4.6%. Our core rental home income is expected to be flat compared to last year and reflects our current rental program occupancy. We anticipate $46.7 million of core resort based rental income in the second quarter, this represents 23% of our full year core RV revenue and we're projecting growth of 5.7% over last year. We expect solid performance as we transition from our winter season to our summer season and we've projected growth rates of 5.4% for annuals, 3% for seasons and 7.5% for transients. Our second quarter reservation page shows we are currently 88% reserved for our expected seasonal revenues and 57% reserved for our expected transient revenues, ahead of this time last year. Membership dues revenue is expected to be $11.3 million. On a combined basis membership dues revenue and membership upgrade sales net are expected to generate approximately $11.7 million of income, an increase of approximately $400,000 from the second quarter of 2016. Our guidance update for second quarter core property operating maintenance and real estate taxes reflects a 5.7% growth rate on a weighted average basis for utilities, real estate taxes and insurance expense. Relevant drivers of our higher than expected first quarter utility expense growth were built into our assumptions for second quarter utility expenses. We've recently completed our property and casualty insurance renewal and have updated guidance to reflect the increase we experienced. As I mentioned on our January call, our property operating expense growth assumptions include the impact of minimum wage changes in state such as Arizona and Washington. Our other expense categories including payroll and our NIM [ph] are assumed to increase at CPI, keep in mind we do not include expenses related to one time insured losses such as storm events in our guidance assumptions. For the second quarter core property operating revenues are expected to be up 4.2% and core property operating expense is up 4%, resulting in an increase in core NOI of 4.4%. We expect the acquisition properties to contribute $1.5 million of NOI in the second quarter. Interest and amortization expense reflects the impact of the loan payoff, we mentioned in our earnings release. I'll now comment and guidance for the remainder of 2017. For quarters two through four we assume no change in our MH occupancy subsequent to the end of the first quarter and expect core community base rent revenues of $363.5 million, which is a growth rate of 4.4% for the reminder of the year. We anticipate core RV revenue growth of 5.2% to generate $148.9 million for the rest of the year. We expect annuals to continue showing strong performance with 5.4% growth projective. As we look ahead to the full summer season, we project combined second and third quarter transient revenue of $30.7 million, a growth rate of 6.5% over 2016. We expect approximately 43% of the full year transient income to come in the third quarter. Total core revenue from dues and net contribution from membership sales in two through four are expected to be $34.6 million an increase of $700,000 compared to 2016. Core property operating expense growth is projected to be 2.2% for the full year, as I mentioned when discussing second quarter guidance, we've increased our expected utility and insurance expense growth rates from our prior guidance. As a reminder our guidance model includes no assumptions related to onetime events such as storms, that may have an impact on expenses. We experienced some rather significant weather related events in the later part of 2016. To the extent we have similar experiences during the remainder of 2017 our expense growth rate may increase. To illustrate the impact of prior year's storm events our estimated growth over 2016 expenses excluding those storm events is approximately 3%. For the rest of the year property operating revenues are anticipated to be up 3.4% with expense growing at 1.3%, resulting in an increase in core property NOI of 4.9%. We expect the acquisition properties will contribute about $4.8 million in income from property operations for the remainder of the year for a total of $8.4 million for the full year. Property management and corporate G&A is expected to be $60.8 million for the remainder of the year. Our full year guidance is $80.7 million. Other income and expense items are expected to be approximately $8.9 million for the rest of the year and approximately $13.5 million for the full year. Interest and amortization expense for the full year 2017 is expected to be approximately $99 million and includes the impact of the loan payoffs I previously mentioned. We expect our average debt balance will be approximately $2 billion. Our annual preferred distribution is $9.3 million. We make no assumptions regarding future capital events in our guidance model. Our 2017 normalized FFO per share estimate at the midpoint is $3.56 and our share count is expected to average 93.1 million shares in 2017. We've made no assumption related to the use of future free cash flow in our earnings model. Before opening the call up for questions, I'll discuss secured debt market conditions and provide some comments on our balance sheet. Current secured financing terms available for MH and RV assets range from 60% to 75% LTV with rates from 3.75% to 4.5% for tenure money. Overall pricing has come in about 10 to 20 basis points during the quarter. High-quality, age-qualified MH will continue to command preferred terms from all lending sources. RV assets with a high percentage of annual occupancy have accessed to financing from CMBS lenders and certain like companies. Fannie and Freddie will consider financing top [ph] assets with close attention paid to the annual rent component in the quality of the sponsor. Life companies are still quoting deals with 15 to 25 year maturities. Our current unrestricted cash balance is approximately $25 million after funding our first quarter dividend earlier this month. We've approximately $13 million of secured debt maturing before the end of the year. In the quarter, we used available cash to repay a $21 million maturing mortgage with a weighted average rate of 5.8%. Our $400 million unsecured line of credit has no outstanding balance. The facility matures in the third quarter 2018 and we plan to begin renewal discussions with our bank group. We continue to place high importance on balance sheet flexibility and we believe we have multiple sources of capital available to us. Our debt to EBITDA is 5 times and our interest coverage is around 4.2 times. The weighted average maturity of our outstanding secured debt is 11 years. Now, we would like to open it up for questions.
Operator: Thank you. [Operator Instruction] And our first question comes from Joshua Dennerlein from Bank of America. Your line is open.
Joshua Dennerlein: I was looking at your leverage metrics and it seems like it's kind of being on a steady downward decline over the past couple of years, would you guys -- is there like a minimum that you would -- like a -- for you would target before you might want to think about putting more leverage on the balance sheet? And also, have you ever thought about, got to a certain point, you might want to do a recap like we saw in most 304 [ph]?
Paul Seavey: Yes, I mean we have talk quite a bit about the leverage metric and whether that's something we use. We've historically focused on the financial flexibility that we have and so we are not necessarily targeting to a metric. I think that you saw us in the quarter, use available cash to pay off a loan, that loan had a rate of 5.8% and what's available to us today is well inside of that. At the time that’s the best use of that cash that we had, but I would say on a go forward basis, as we are looking at investment opportunities, wouldn't necessarily signal that we are in a leverage neutral or a deleveraging situation. We'll kind of assess the opportunity at a time and determine how much leverage we might put on future investments. As it relates to the recap idea, we've taken a look at that in the past and I think that there is some structural changes that have made that execution a bit difficult in the current environment. So I don’t see something quite like that necessarily.
Joshua Dennerlein: Okay. Thank you.
Operator: And our next question comes from Nick Joseph from Citigroup. Your line is open.
Nick Joseph: Maybe just staying with the balance sheet, what are the plans for the Series C [ph] preferred callable September and then more broadly how do you think about preferreds as part of the overall capital stack?
Marguerite Nader: Yes, I think, Nick we're in the process of discussing Series C with our board over the next couple of board meetings, so we will have an update certainly then. And I think you know, historically we have had preferred -- I think the preferreds being in place for --.
Paul Seavey: Since 2000.
Marguerite Nader: Since 2000. It's an interesting thing for us right now as we look at preferreds which are obviously preputial, first is what we see with Life company debt and being able to get 25, 30 year debt is very interesting cap as well.
Nick Joseph: Thanks, and then just in terms of may be the transaction market, any comments there as well as your acquisition pipeline today?
Marguerite Nader: Sure. Well as you saw from the press release we didn’t close any attributions in the quarter, but we do have deals in various states from LOI to the contracts stage. Last year, we didn’t know that we were going to end up closing a $120 million of assets, so I think it's a -- we are in the kind of the same state of just determine when the timing for closing would happen, and that’s kind of I think the pipeline is similar to what it was last year.
Nick Joseph: Thanks. Then how do you think about portfolio deals that have a mix of properties that you would want to own longer term and some that you wouldn’t? And would you be comfortable executing on a larger deal and then selling off some of the properties that don’t sit longer term.
Marguerite Nader: Absolutely and in fact you saw us do that with HomeTown, where we took down the HomeTown portfolio of 1.5 billion deal, we looked at it and as we looked at it we saw some assets that we weren’t interested, we didn’t know if we would be interested in them in a long-term basis, we held them for a little bit of time and then sold them and had a good execution on the sale. So we're certainly -- that's certainly kind of in our tool kit for executing non-portfolio transaction.
Operator: And our next question comes from Paul Adornato from BMO Capital Markets. Your line is open.
Paul Adornato: Part of the quarterly out-performance was attributed to better rate, was wondering if you could drill down on that little bit. What part of the portfolio had better rates compared to when you issued guidance. And I guess part of that is, we had a point where occupancy is allowing a more aggressive rate increases.
Paul Seavey: I'll just say with respect to our guidance assumptions -- our earlier guidance assumptions we saw some of it in 2016 as well. We have a process in Florida for noticing our residence and then we enter into negotiations with those residences. We make assumptions about where we may land, during those negotiations in terms of what the rate increase will be and what we've seen is a bit more acceptance on the part of those customers for the rate that was noticed rather than a rate may be somewhat inside of that, and it is a function of the turnover rates that we were able to achieve in those properties during the course of the year. So we used that as part of our support in developing those notices and because those conversations are continuing at the point in time we put our January guidance out, we don’t have quite the certainty that we do with respect to some of our noticed locations.
Paul Adornato: Great and also you mentioned that a portion or a pretty significant portion of the sales come from either locals or folks within our communities. Are they -- would you consider these people like trading up if you will, what is the motivation for these purchases?
Paul Seavey: I think you're referring the conversion metric that Marguerite mentioned in her opening comments and just to break that down 10% of that 15% is what we would refer to as a -- call it a true renter conversion. And those are existing renters in our portfolio, purchasing and ELS or used home that they were renting or it may be another home that they weren’t renting, but it is a home that we are selling. The remaining 5% to get to the 15% is the existing residence in the community that’s buying a new or used homes from us and they are either upgrading to a larger home or making a decision to down size or choose a different lot in the community. So that’s really the process that generates 15% overall conversion to our existing customers.
Paul Adornato: Great and I guess one final point, what percentage of home sales would realize a gain on sale, is that -- are folks selling for gain, is that typical or not?
Marguerite Nader: It really varies by location as you can imagine, just like you'd see in residential real estate. So there may be areas not only just in the location of the community, but then the locations that the home is in the community. Is it close to amenity package, does it have a certain view. So it really ranges, I don’t think there is an average or a percentage that we could quote.
Operator: And our next question comes from Drew Babin from Robert W. Baird. Your line is open.
Drew Babin: I was hoping you could talk about the initial second quarter transient expectation, and your first wave guidance for this year, kind of the [indiscernible] implied in the full year versus 7.5 current, whether that number change as the year is going on?
Paul Seavey: I would say that, consistent with past practice, the visibility that we have as we get closer to the second and third quarters becomes a factor in our guidance. So as we entered the first quarter, our guidance was essentially flat, we outperformed that slightly in the first quarter. And then we have updated our guidance for the full year based on what we are seeing. As I mentioned we are ahead of reservation pace for both the seasonal and transient at this point in time this year relative to last year.
Marguerite Nader: And one of the things Drew that we are seeing is, we focus our marketing effort, I mentioned it on the opening remarks about unique accommodation, tying home [ph] dues, et cetera, and that is helping to drive transient traffic to our locations, and those are people that didn’t really know about us before and we are able to drive that traffic.
Drew Babin: On the Tiny Home concept as you mentioned, has there been any expansion of that within your portfolio? I know there has been kind of just isolated trials before that they were very well receive, is that proving to be kind of a broader trend?
Marguerite Nader: Well, it's a broader trend in that we're doing it -- we are having Tiny Homes villages at few more locations. I think we have talked in the past about the location that we have in Portland and we have a -- for the full year we saw 35% increase in revenue at the property in total. Certainly, the five Tiny Homes that we had, we filled that, that was kind of an easy thing to do, but it really generated a lot of halo effect kind of revenue across the property. So we saw -- we saw demand for the village itself and then demand for the property. And we are also pleased that we have been -- we've partnered with Ford to bring the Tiny Homes to the New York Auto Show this week and there has been a great deal to interest at they show and people visiting the show and ask about the Tiny Homes and really the hook there is to just discuss our properties and the unique accommodation that we have.
Drew Babin: Great that’s helpful and then one question for Paul. On the last call we talked about 2018 debt maturity and obviously there is no refinancing of those included in this year's guidance. But are there any updated thoughts about potentially addressing those a little bit earlier as you discovered internally?
Paul Seavey: Nothing concrete, I’ll say that we regularly take a look at the seasons cost. There is not been a significant change in rates, so change in the season's cost overtime is really just [indiscernible] time and how that impacts the calculation. But nothing to signal at this point in time.
Drew Babin: Okay great that’s all for me.
Operator: And our next question comes from Gaurav Mehta from Cantor Fitzgerald. Your line is open.
Gaurav Mehta: I was wondering if you would comment on how you are thinking about expansion opportunity within your portfolio in 2017?
Marguerite Nader: Sure we have a couple of expansion underway, 50 sites at a time as we have talked about in the past, that’s kind of the way we like to roll out the expansion. So we have Mesa, Arizona, adjacent to our Viewpoint property, we have one in Huston, right outside of Huston at Lake Conroe and there is a couple that we're looking -- we're working on in Florida. We're seeing good demand and kind of excitement at the property level for the new sites. A lot of the business that we're seeing from the new sites is from some existing customers really looking to upgrade their site, upgrade their home. That's where we're seeing some of the demand coming from.
Gaurav Mehta: Okay and as a follow up on the rental home, guidance seems like you changed it, somewhat decline in the prior guidance, some were flat in this guidance. I was wondering how you're thinking about rental home business in '17.
Paul Seavey: That change is primarily driven off of the occupancy and just before Patrick jumps in maybe with some color, just wanted to let you know that our -- just me saying, I guess that our guidance assumption is flat occupancy. And so we had anticipated decline in our first quarter guidance -- during the first quarter and we didn’t see that.
Patrick Waite: Sure and some first an additional color on the rental program, we decrease rentals overall by almost 200, it's at a 199 year-over-year in the quarter that’s a mix of increasing new by 220 and decreasing used by 419 [ph], I think we also mentioned that we added renters, in the quarter we're up by 13 and you compare that to the same period last, I think we were down by 5 or 6 in overall occupancy growth in the 140 range. So it's a pretty similar year-over-year increase in occupancy, but we did see the trend of a slight add and we're still making progress in reducing our used rental inventory and that obviously blends to an overweight in home owner growth as opposed to renters.
Operator: [Operator Instructions] And our next question comes from Todd Stender from Wells Fargo. Your line is open.
Todd Stender: Thanks for the additional color on the rental conversations, that 10% number. What's the average length of stay for those residences before they buy? Just kind of looking at where that window is for someone to convert them before they stay, maybe more of a longer term renter.
Patrick Waite: They tend to be a little bit to the longer side of the conversations they're typically in the 18 to 24 month range.
Todd Stender: Okay is that -- any change in that over historical experience or your average?
Patrick Waite: It's been relatively typical as some [ph] sales started picking up and renter conversion started picking up, coming out of the recession that’s been a relatively consisting number. The renter, renter conversion has been in the call it 8% to 12% range currently its about 10. And then you're adding roughly 500 basis points for existing owners or renters in the community that are trading to a different home.
Todd Stender: That's helpful, thank you. And then when you look at ground rent the ground rent is now over $600 per site that seems to be a pretty formidable milestone for the company, I don’t know if you look at it that way. But pretty good, real good, how does that -- how does the cost to own compared to the cost to rent, I know you're deemphasizing the rent, but at what point maybe you start to see renters picks up again as site rents climb over 600.
Patrick Waite: I appreciate that it's a round number, but we haven’t really seen a change in the behavior with respect to home buyers and home renters. We're seeing very consisting demand for both new and used homes, that's resulted in the decreased of our used rental inventory and that year-over-year pick up in new home sales. From a portfolio perspective, our average rent for home and this site is about $900. So that’s roughly as you pointed our $600 to the sight, $300 to the home. I think that’s a relative reasonable allocation between the two. And Paul referenced earlier, our ability to raise rents in Florida, we are increasing occupancy, we are selling more homes. So I don’t really read through any sort of resistance to our existing [indiscernible] rents.
Marguerite Nader: And I think we are also -- Patrick's whole group is very focused on mark survey. So we are always out and looking at what's happening in the markets. So those rates that $600 rate that is our kind of high point. But as we look at it, and what's happening in the market across our properties we feel it's justified.
Todd Stender: Okay, thanks. And just finally when you look at the home sales, they declined versus Q1 last year. How -- we've seen some movement in interest rates, whether it's the 10 year probably impacting rates and also the Fed moves, where do you guys are or what do you point to for maybe the drop in home sales and how much the interest rates play into that?
Marguerite Nader: The drop in the home sale actually, as you see in the supplemental, is that there is a mix of MH homes and RV communities, MH and RV communities. So we really saw a decrease in our RV communities selling at one particular property. So I will consider that more of an execution issue on that singular asset rather than something that was market driven. We are seeing the same strong demand like I mentioned in Florida, we had a significant increase in sales in Florida. And so I think that what we are seeing is high demand, we had some execution issues that I would say impacted us in the quarter.
Todd Stender: Got it thank you.
Operator: Since we have no more questions on line, at this time I would like to turn it back over to Marguerite Nader for closing comments.
Marguerite Nader: Thank you all very much. We look forward to updating you next quarter.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This conclude the program and you may now disconnect. Everyone have a great day.